Collin Jones: Thank you, operator. Welcome everyone to our First Quarter 2025 Earnings Conference Call. I'm joined today by our President and CEO, Mary Berner; and our CFO, Frank Lopez-Balboa. Before we start, please note that certain statements in today's press release and discussed on this call may constitute forward-looking statements under federal securities laws. Actual results may differ materially from the results expressed or implied in forward-looking statements. These statements are based on management's current assessments and assumptions and they are subject to a number of risks and uncertainties as discussed in our filings with the SEC. In addition, we will also use certain non-GAAP financial measures. We believe the supplementary information is useful to investors, although it should not be considered superior to the measures presented in accordance with GAAP. A full description of these risks, as well as financial reconciliations to non-GAAP terms are in our press release and SEC filings and the press release can be found in the Investor Relations portion of our website and our Form 10-Q was also filed with the SEC shortly before this call. A recording of today's call will be available for about a month via a link in the Investor portion of our website. With that, I'll now turn it over to our President and CEO, Mary Berner. Mary?
Mary Berner: Thanks, Collin and good morning everyone. In Q1, despite a macro environment that became more challenging since our last earnings call, our revenue was in line with pacing guidance. The imposition of sweeping tariffs in conjunction with ongoing government spending cuts has resulted in supply chain concerns, inflation pressures and worsening consumer sentiment, all of which have further clouded the outlook for consumer demand and contributed to pullback in advertising spending. I'll discuss those impacts particularly in some of our key advertising categories later in the call. However, despite that backdrop, what hasn't changed since our last call is how we are responding to mitigate the impacts of the macro environment and how we are getting more out of the assets we have. Specifically, we continued to heavily focus on our digital businesses in particular on our digital marketing services business, which was up 30% during the quarter, an acceleration of Q4's growth rate that has continued to build in Q2. We continue to hone our broadcast go-to-market tactics, leveraging our entire platform to maximize opportunities to sell across various markets. To that end, despite the macro challenges, we increased both revenue and ratings share across our large markets and network business. And we continue to drive cost efficiencies and executed $7.5 million of additional annualized net fixed cost reductions. In parallel, we remain committed to fundamentally transforming the way we use and leverage our key assets, which include, a massive megaphone that reaches 92% of the country and 250 million listeners every month, which for example we're using to partner with nontraditional parties who are looking to tap into our vast audiences. An ability to walk product into the door as delivered by our almost 400 locally embedded sales professionals and established relationships with approximately 30,000 local and national businesses who are natural customers for new products we develop, both of which were key elements of the strategy driving the growth trajectory of our DMS business. An audio-first multi-platform content engine that creates monetizable content in an almost endless variety of formats from snackable snowshoe clips and short and long-form audio to daily podcast highlights and binge-worthy weekly rewinds. And an extensive constantly growing library of premium audio content that can be redeployed and monetized in multiple ways like the partnership albeit, small to start that we created with a major tech platform to leverage AI to create automated new content from our audio library for distribution through our websites, apps and social feeds to grow monetizable impressions. Turning to our first quarter performance, our digital businesses which to remind you have been profitable from day one, in aggregate grew 6% year-over-year even with the loss of our Daily Wire relationship, underscoring the fact that our efforts to drive digital growth continue to pay off. Specifically, with respect to DMS, which remains our fastest-growing business overall, revenue was up 30% in the first quarter, driven by growth in total customers up 41%, average campaign order size up 16% and improvement in customer retention. Our ongoing improvement in these metrics reflects the power of our approach to the DMS market. By leveraging our extensive client relationships and the face-to-face access of our fully embedded local sales teams, we outperformed industry benchmarks by an average of 25%. And given the strength of our competitive positioning and our upside potential, we are continuing to invest in additional product improvements and enhanced capabilities. All-in-all this business is firing, on all cylinders. With significant runway still ahead of us in this market, we anticipate that our DMS business alone will grow from its current revenue run rate of nearly $70 million to over $100 million plus run rate by the end of next year. Moving to Podcasting, excluding the negative comp from Daily Wire, we were up close to 40%. However, with the Daily Wire included, we were down 13%. And as I mentioned on our last call, we will have an additional negative comp starting in Q2, reflecting Dan Bongino's appointment, as Deputy Director of the FBI. That said, we replaced Dan with Vince Coglianese on both Radio and the Podcast shows. Vince is a popular Washington D.C.-based radio host from WMAL-FM and Editorial Director of the conservative daily news publication, The Daily Caller. We're very pleased with how Vince has performed so far. The radio show re-launched with over 250 affiliates including six of the top 10 markets, while the podcast finished the month of March three in the top podcast as measured by weekly average downloads. This resulted in revenue from the show exceeding internal expectations. Streaming, our third digital business was up 4%, during the quarter. As mentioned on prior calls, we brought the sales function for streaming completely in-house last year, replacing an outsourced fixed rate sales contract. This move is already benefiting us, as it is allowing us to better manage and optimize the monetization of our streaming impressions. In our Broadcast business, as I mentioned, the negative impacts of new tariffs and government spending cuts on the economy and consumer demand continue to weigh heavily on advertisers. We experienced pullbacks across several key advertising categories including automotive, retail and CPG with the impacts felt both on the local and national sides. That said, though consumer sentiment has worsened, there were some positive categories in the quarter including in the insurance and the financial categories. As we continue to take advantage of demand opportunities, when and as they occur. For example, capitalizing on the enthusiasm for our premium sports content including the NFL and NCAA which allowed us to, achieve all-time revenue highs in the NFL playoffs and Super Bowl. Another way we are enhancing how we sell our broadcast assets is through the expansion of our Beyond Home market business, which was up 48% in the quarter following fourth quarter year-over-year growth of 45%. With in-market sales teams in 84 markets, we can walk our portfolio of broadcast and digital products through the door, providing a one-stop shop solution for the creation, execution and ongoing optimization of multi-platform, multi-market campaigns for clients across all their locations. We are also seeing a positive impact from our emphasis on live and local programming, and continue to see its ability to drive ratings and revenue as listeners and local advertisers value the trust created with local on-air personalities who are very involved in their communities. To that point, we have seen across numerous markets that where we have a higher concentration of live and local programming than our competitors, we are outperforming them from a rating share perspective. Unsurprisingly, given the difficult broadcast environment we continue to focus on fixed cost reductions. During the quarter, we cut $7.5 million of annualized net fixed costs which will be recognized through the balance of 2025. Those actions are on top of the $163 million of fixed cost reductions or 27% of our 2019 fixed cost base that we've made, since then. Additionally, we've been exploring numerous ways to use AI. And today we are deploying it across a variety of functions within the company. For instance, our sales organization is creating more effective advertising -- efficient advertising proposals by using AI voice cloning to create sample commercials in seconds. And we have implemented AI chatbots across our various e-commerce websites to improve customer service. These are just two examples of the ways we are starting to use AI to become more efficient and cost-effective. Moving to the balance sheet. While the first quarter is seasonally our low point in revenue and cash generation, our aggressive working capital management allowed us to maintain ample liquidity with $53 million of cash on hand plus an undrawn ABL. As we move forward, we will continue our focus on increasing operating efficiency, while still supporting our various growth initiatives across both digital and broadcast. From a balance sheet perspective, our focus will remain on net debt reduction utilizing cash generated from operations and the monetization of non-core and non-EBITDA producing assets. Looking ahead and reflecting the ongoing economic uncertainty impacting our advertising clients, pacing is down approximately 10% or 5% ex political ex Daily Wire and net of the Bongino impact. Before turning it over to Frank, I want to remind you that we recently released our proxy. It reflects our extensive shareholder engagement efforts since last year's annual meeting and the implementation of numerous governance and compensation changes in response to shareholder feedback and we encourage you to read it. With that I'll turn the call over to Frank. Frank?
Frank Lopez-Balboa: Thank you, Mary. Total revenue was down 6.4% or down 3.7% excluding political and the impact of the Daily Wire both in line with the pacing commentary that we gave in our last earnings call. EBITDA for the quarter was $3.5 million. Digital continued to be an area of growth, up 6% in total or up 20% excluding the impact of the loss of the Daily Wire relationship. DMS continues to be our fastest-growing business, up 30% in Q1 and is currently pacing up more than 35% in Q2. From a category perspective as Mary mentioned, the insurance and financial categories grew during the quarter while automotive retail and CPG were some of our worst-performing categories. Moving to expenses. Total expenses in the quarter decreased by approximately $8 million year-over-year reflecting our ongoing cost reduction efforts, partially offset by higher expenses associated with growth in our digital businesses. In the first quarter, we executed on an additional $7.5 million of annualized fixed cost reductions adding to the $163 million of fixed cost reductions we've taken out since 2019. Turning to the balance sheet. We ended the quarter with $53 million of cash, debt at maturity of $642 million and net debt of $589 million when excluding the $28 million of principal debt reduction resulting from the exchange offer, which will be amortized over the term of the debt. First quarter CapEx was $5.5 million and we expect full year CapEx to be $22.5 million as per our previous guidance. Looking ahead, as Mary previously mentioned, we are currently pacing down approximately 10% and down approximately 5% ex political, ex Daily Wire and net of the Bongino impact. With that, we can now open the line for questions. Operator?
Operator: Thank you. At this time, we’ll now proceed with our Q&A session. [Operator Instructions] The first question is from the line of Michael Kupinski with Noble Capital Markets. You may proceed.
Michael Kupinski: Thank you. Good morning, and thanks for taking my question. Just a couple of questions here. On the network side, I was just wondering were there any programs or content that you had last year that you didn't have this year in the first quarter? And I was just trying to get a sense of maybe the -- what were the -- some of the more significant drivers of the decline in network for this particular quarter? And if it was kind of similar to what you saw in the fourth quarter of last year, were there any particular changes in the categories and so forth?
Frank Lopez-Balboa: Good morning, Michael. I'll take that question. Our program really didn't significantly change in the network in the first quarter. And the trends that we saw in the first quarter, really on a national market basis which impacted our national spot as well as the network is really driven by general weakness in the general market demand. And so while our sports properties performed quite well, it's just the general weakness in demand that -- in the general market that's driving that reduction in the network. I'll also remind you, since the second quarter we don't have sports. Similar to last year the second quarter network will have a tough comp because the environment for general market demand is weak. So while not giving guidance and it's early in the quarter I would expect the network to perform worse than spot and worse than we saw in the first quarter.
Michael Kupinski: Got you. And in terms of the -- like the cadence of how the quarter shaped up, can you kind of give us a sense of month-by-month how the revenues performed both on the spot and on the network side?
Frank Lopez-Balboa: So we had our earnings call basically with one month to go in the quarter. And at the time of the earnings call, I think that was maybe a week or two after or around the time the tariffs were announced. And we did say we were pacing down mid-single-digits but we did lose a little bit of pace, and that's why we ended up instead of down 5% down to slightly over 6% we talked about. And advertisers are placing orders much later in the quarter, and we'll see how that goes in the second quarter.
Q – Michael Kupinski: Got you. And then just kind of a quick question because the FCC is -- you kind of indicated that they're interested in more deregulations in the industry. And I know, there were some additional comments at the NAB recently. And I was just wondering, if you can kind of give us your thoughts on how deregulation might play out and how this might affect you. And then, you mentioned about the prospect of asset sales and I was just wondering if you can just kind of give us an update on the prospect of asset sales and where you might stand on that currently.
Mary Berner: Yes. Hi, Mike. Good morning. I think like others in the industry, we are optimistic about the possibility of FCC deregulation. I think the next step of course is the confirmation of the fifth FCC commissioner. So we have to wait for the Republicans to have a majority. We think that will be in early or mid-summer. And then, the expectation is that there will be a notice of proposed rulemaking that will address the cap by late summer and fall. So we're optimistic. And it could take a while to become -- actually become a regulation, but I think things are moving in the right way, which is good news for the industry. As it relates to asset sales, I think I'll let Frank address that.
Frank Lopez-Balboa: Thank you, Mary. In the first quarter, we did do a couple of small asset sales of land, but in aggregate that was just under $1 million. As I mentioned previously, and as you know, we do have a nice piece of land in Nashville, which we're cautiously optimistic that that's something that we could sell this year. And I think I mentioned in previous calls that as we're planning throughout the year, we'd be disappointed if we had less than $10 million to $15 million of proceeds from asset sales and that's still our current view.
Q – Michael Kupinski: Okay. Great. All right, that’s all I have. Thank you.
Operator: Thank you. There are currently no questions registered. So at this time, I'd like to pass the call back over to our management team for any further remarks.
Mary Berner: Thanks everyone for participating. We will see you at the next call. Thanks.
Operator: Thank you all. That will now conclude today's conference call. We appreciate your participation. Hope you all have a wonderful day and you may now disconnect your lines.